Operator: Good day and welcome to the FuelCell Energy reports fourth quarter 2009 conference call. Today’s conference is being recorded. At this time I’d like to turn the conference over to Ms. Lisa Lettieri, Investor Relations Vice President. Please go ahead ma’am.
Lisa Lettieri: Thank you, Operator. Good morning everyone and welcome to FuelCell Energy’s fourth quarter results conference call. Delivering remarks today will be R. Daniel Brdar, Chairman and CEO; and Joseph G. Mahler, Senior Vice President and CFO. Our earnings press release is posted on our website at www.fuelcellenergy.com and a replay of this call will be posted two hours after its conclusion. The telephone numbers for the phone replay are listed in the press release. Before proceeding with the call, I’d like to remind everyone that this call is being recorded and that this presentation contains forward-looking statements including the company’s plans and expectations for the continuing development and commercialization of our FuelCell technology. Listeners are directed to read the company’s cautionary statement on forward-looking information and other risk factors in its filings with the U.S. Securities and Exchange Commission. Now, I’ll turn the call over to Dan Brdar. Dan.
Daniel Brdar: Thank you, Lisa and thank you everyone for joining us this morning. Worldwide demand for clean energy is growing as policy makers seek out better and more effective energy solutions that will drive global economies in the 21 century. As the world leading provider of ultra-clean highly efficient fuel cells, FuelCell Energy’s fourth quarter and 2009 accomplishments, position us well to capitalize on global demand and grow our company. FuelCell Energy has the first move our opportunity to capture global demand for fuel cell power. We offered the only commercial megawatt class fuel cells for ultra-clean based load distributed generation. In 2009, we began producing our new lower cost megawatt-class products resulting in better product margins. This is an important milestone in our ongoing cost reduction program, which is cut product cost by more than half over the last several years. In addition, we concluded a key licensing agreement with our partner POSCO Power. The agreement will expand the total production capacity of our products, contribute the further cost reduction and support the continued expansion of our fastest growing market South Korea. I’ll get into what we were accomplish with our products and the market opportunities that will take us to profitability in further detail, after Joe Mahler, our Chief Financial Officer reviews the financials. Joe.
Joseph Mahler: Thank you, Dan and good morning everyone. We reported total revenues for the fourth quarter of 2009, $20.4 million compared to $26.2 million in the same period last year. Product sales and revenues in the fourth quarter were $16.7 million compared to $23.3 million in the prior year quarter. Lower product revenues resulted from decrease U.S. market activity due to difficult credit markets that were offset by sales to POSCO Power. Research and development contract revenue was $3.7 million, compared to $2.8 million in the prior year quarter. Higher research and development contract revenue was attributable to increased activity on the company’s solid oxide fuel cell development contract with U.S. Department of Energy. The product cost-to-revenue ratio was 1.40-to-1 compared to 1.54-to-1 in the fourth quarter of 2008. The cost-to-revenue ratio improved due to lower product cost that resulted in higher product margins compared to the prior year. FuelCell Energy began producing its new lower cost megawatt-class products in the latter half of 2009. The cost ratio was impacted by higher cost to complete the commissioning of the first multi-megawatt power plants in South Korea. Net loss to common shareholders for the fourth quarter of 2009 improved 33% year-over-year to $16.2 million or $0.21 per basic and diluted share from a net loss to common shareholders of $24.3 million or $0.35 per basic and diluted share in the fourth quarter of 2008. Net losses declined primarily due to the sales of higher margin products. Turing to full year operating results, for the year ended October 31, FuelCell Energy revenues were $88 million compared to $100 million reported in 2008. Product sales and revenues were $73.8 million in 2009, compared to $82.7 million in 2008. While sales dollars were down, which is what you might expect in a tough environment, the actual megawatts of product sold in the year increased. As planned, sales to POSCO, transitioned from full powered plants to modules reducing the sales dollar per megawatt. FuelCell Energy’s product backlog including long term service agreements was $90.7 million compared to last year’s $87.6 million reflecting continued strong orders from South Korea. Research and development contract revenues were $14.2 million, compared to $18 million research and development contract backlog was $14.2 million as of October 31, compared to $4.8 million on October 31, 2008. The product cost of revenue ratio improved 10% to 1.45 in the 2009 compared to 1.62 in 2008. Net loss to common shareholders were $72 million, or $1 per basic and diluted share, compared to a net loss to common shareholders of $96.6 million, or $1.41 million per basic and diluted share, primarily due to lower product costs compared to the prior year. We ended fiscal 2009 with total cash and investments with $64.8 million, cash increased in the fourth quarter by $11.8 million as POSCO Power paid in upfront licensing fee of $10 million and invested in $25 million in FuelCell Energy common stock. Excluding these transactions, net cash used is $23.2 million, compared to $17.5 million in the prior year quarter. Cash used in the 2009 quarter, was impacted by longer than anticipating commissioning for the even it’s in South Korea, which delayed customer milestone payments. Commissioning for these units was completed by the end of the fourth quarter. Capital spending for the 2009 fourth quarter was approximately $0.5 million and depreciation expense was $2 million. During the fiscal year 2009, the company’s cash use was impacted by the credit crisis in U.S. as well as the working capital impact as a want commissioning cycle Korea. The company did respond to these issues by cutting costs early in the year through a reduction in workforce and other cost reduction. Also we’ve raised $22.5 million of cash in June to a registered direct offering and $35 million in October from the POSCO transactions. With the POSCO commissioning issues behind us and project financing activities showing some signs of improvement in U.S., we expect cash used to be reduced to a more normalized range of $10 million to $12 million per quarter in fiscal 2010, contribution margin from additional order flow and production could drive even better quarterly results towards the later part of the year. Capital spending will be similar as 2009, our annual maintenance in cost reduction in CapEx requirements are range approximately from $3 million to $4 million. This past year, the credit crisis delayed orders in the U.S. for clean energy products. We will continue to work these markets to close our immediate opportunities in Connecticut and California, we are optimistic that 2010 will bring credit market back to normal fee and enable U.S. market. Dan.
Daniel Brdar: Thanks, Joe. FuelCell Energy’s past in profitability is based on two primary drivers. Progressively driving down our product cost and increasing order flow in our key markets. FuelCell Energy has a successful track record reducing product cost through value engineering, manufacturing improvements and engineering and technology improvements to increase stock power output life and system efficiency. Since beginning our cost reduction program on our commercial megawatt class products, we’ve achieved a 40% increase in power output and more than 50% reduction in unit cost. The most recent design of our cost reduced megawatt products went into production over this year and we expect these products to be gross margin profitable. This is an important milestone for us, because these products together with increased manufacturing volume will move us to profitability. As we increased our production volume, we anticipate being able to continue to reduce product cost. Increased volume enabled several areas of continued cost reduction including an expanded global sourcing program, larger volume purchases, more competition among our suppliers, increased utilization of factory capacity, an increased productivity in automation in our facilities and our supply chain. In addition, increasing power output and stock life of our core cell technology continues to be the focus of our research and development efforts. Increased orders from our target markets are key to our profitability. In many regions around the world, there’s a growing adoption of clean at low carbon technologies. Countries are also looking to green technologies as a way to turnaround their economies. This intension to clean energy technologies is driving policy in places like South Korea and more recently the U.S. South Korea’s low carbon green tech energy policy, continues to be a driver for fuel cells in this part of Asia. The South Korean government intends to spend more than 2% of the countries gross national product, roughly $86 billion to fill their national renewal portfolio standard. This standard is expected to pass into law in the coming months and we’d require 4.3% of the country’s electric power to be generated using clean energy technologies by 2015, roughly about 2,800 megawatts and fully 11% by 2030 over 7,000 megawatts. Stationary fuel cells, operating our natural gas are expected to be included in the program and our product should be well positioned to contribute significantly to this goal. The Korean government’s proposed energy policy is an example of this strategy to meet both the countries domestic in energy objectives and to create a green technology industrial base that will become the foundation for a global export market. POSCO continues to advances its plans to build out the stationary fuel cell market in South Korea. During the quarter, we concluded a new long term licensing and manufacturing agreement enabling POSCO Power to assemble, test and condition fuel cells stack modules using components manufactured and supplied by FuelCell Energy. POSCO Power will combine the stack modules with relative plant equipment manufactured in South Korea to produce FuelCell Power plants for sale in that country. As part of the new license, POSCO paid an upfront license fee of $10 million and we’ll pay an ongoing royalty of 4.1%. The license is consistent with FuelCell Energy strategy of locating certain power plant production activities close to the end user market, while ramping up cell production in our facilities. POSCO will expand a new facility in Pohang that was commissioned last year for Electrical Balance of Plant production to accommodate the production of fuel cell modules. The expanded facility is expected to be operational late next year. In addition, POSCO Power closed on its previously announced purchase of $25 million of FuelCell Energy common stock further demonstrating its commitment to working closely with us. Localizing fuel cell module assembling conditioning as important benefits for both parties, it allows POSCO Power more domestic content supporting their work with the South Korean government to pass enabling legislation. It also drives increased demand for cell components from FuelCell Energy’s factory here in Connecticut. As a result of the new license, we can continue to reduce product cost for the Asian market as a result of lower shipping cost, import duties and taxes. It also effectively expands our collective production capacity, since POSCO’s new facility will relieve one of the primary production constrains at FuelCell Energy’s existing production lines. Our first 23 megawatts of megawatt-class plants were successfully commissioned in South Korea. As we described in last quarters conference call, the simultaneous startup of several multi-megawatt units presented challenges in both insulation and balance of planning equipment issues that let to delays. These first of a kind challenges are now behind us and the world largest installed fleet of multi-megawatt-class fuel cells is in operation. We continue to work closely with POSCO, and their customers and installers to ensure that future project insulations go with smoothly as they do here in U.S. POSCO Power has proven to be an excellent partner for South Korea and we’ll continue to build our business together to capture the growing opportunity in Korea and other parts of Asia. In North America, we’re in the midst of the period, where the benefits of stationary fuel cells are becoming more widely recognized. This is being helped by the growing focus on energy efficiency as the cost effective way to reduce carbon emission and extant the useful life of available fuel resources. In addition, natural gas is increasingly becoming part of the policy debate due to significantly expanded production in the U.S. We now had greater than a 100 year supply of natural gas at our current rate of consumption, our cleanest domestic fuel. Using this abundant clean domestic resource in our fuel cells make sound energy in environmental policy, since our products have the highest electrical efficiency in their size range and produced virtually no NOx, SOx or particular matter. Additionally, Congress are seeing solutions to address environmental problem, they could result in an NG bill beneficial for fuel cells. Their actions could result in a National Renewal Energy Standard at federal RPF. In longer term, the implementation of cap-and-trade policies and now, the Environmental Protection Agency has signaled their intent to issue new carbon dioxide regulations. This heightened intention to the need for clean energy solutions should prove beneficial to our company given our products a mere emission at high efficiency. California has always done on the leading edge of clean technology adoption and it’s our second biggest market after South Korea. Our sales pipeline in California continues to grow and we’re working to close orders as evidenced by the recent wastewater treatment plant order for our fourth unit. Work closure from our California project opportunities were significantly impacted during the year as our partners and end users dealt with the lack of available financing for all types of power generation projects. We’re beginning this deed of return of traditional project financing in some parts of the power generation, but to slow process. In addition, many of our potential customers are municipal wastewater treatment facilities. Many municipalities are going through a review with their capital budget plans to light of reduced tax revenues. Our projects were expected to fare well on these reviews due to the strong financial incentives from programs like California’s self generation incentive program. In support of these opportunities, California again demonstrated its commitment to reducing green house gases and encouraging clean distributor generation, by extending its self generation incentive program to 2015. Under this program, qualifying fuel cell projects of up to three megawatts are eligible for incentive of up to $4,500 per kilowatt when operating on biogas and up to $2,500 per kilowatt on natural gas. Currently, there was about $200 million in the program an ongoing funding is expected to be roughly $83 million annually. The plant capital projects likewise what the treatment plants now have the certainty that they need in the SGIP, knowing that will be available for several more years. California also enacted two new feed-in tariffs, one for combined heat and power, which are fuel cell projects would qualify. The second was a renewal feed-in tariff, signed by the Governor Schwarzenegger in October. Once the feed-in tariff rates were set, they will enable power producers to export excess electricity back into the grid. The feed-in tariffs could make it more economically attractive to generate power using fuel cells and lead to wider deployment. The California Public Utility Commission is currently working to set pricing for these tariffs and we’re look forward to their ruling. In April, Connecticut’s Department of Public Utility Control approved 27.3 megawatts of FuelCell Energy projects under the states renewable portfolio standard for a total of 43.5 megawatts of projects approved today. Although economic conditions have made this default to obtain financing for all kind of capital projects, we’re working with our projects developers on private and public funding. In parallel to our efforts to secure traditional project financing, we’re submitting applications for the $6 billion DOE loan guarantee program and we expect to be notified in early 2010. Canada is another developing market for our products. This past September, the Ontario Government ruled the gas distribution companies such as our partner Enbridge may own and operate power plants to generate both electricity and heat including fuel cells operating on natural gas up to 10 megawatts per facility. This is an essential step toward the deployment of the DFC-ERG for pipeline applications in the province. The Ontario Government is also expected to establish to revise feed-in tariffs to encourage the insulation of clean energy generation that would include stationary fuel cells. Turning to Europe, our license with our partner MTU Onsite Energy will end later this month. Europe is been a leader and its commitment an aggressive adoption of new clean energy technologies and its largely untapped market for our products. While countries such as Spain in Germany have installed a large capacity of intermit generation like wind and solar, they are lagging the ultra-clean base load solution that our products provide. We are currently in discussion with potential partners. Due to the diverse nature of the European market and the difficulty of anyone company to be successful and such a diverse region we expect to end up with more than one partner to pursue the various vertical and geographic market opportunities. We have arrived an important juncture in our company’s evolution. To date our focus was on capturing geographic markets. The Korean market uses fuel cells and grid support, the California market as been using fuel cells for onsite distributed generation and Connecticut is using fuel cell to satisfy its renewable portfolio standard requirements. As a result of numerous successful installations our products are beginning to attract vertical markets with low cost fuel and renewable status. Fuel cells operating on biogas are attracting worldwide interest. Our DFC-ERG is attracting global interest as it can improve the pipeline let down process. The wastewater treatment market which utilizes renewable fuel as immediate global potential, we established solid reputation in California at these facilities with approximately 40% of our insulation running on biogas produce by the wastewater process. They repeat order from to large wastewaters speaks to our customer satisfaction with our products ability to provide a superior solution. Our units reduce emissions, carbon dioxide and cost. The heat from our power plant is used in the anaerobic digester, so in addition to saving on electricity cost, customers save on fuel cost. This type of combine heat and power application can yield up to 90% efficiencies. Our DFC-ERG system developed with our partner Enbridge is specifically designed for natural gas pressure letdown stations. Natural gas is piped under high pressure over long distances and the pressure must be reduced at letdown stations before can be distributed locally. Consequently, almost every pressure letdown station worldwide is a potential for our DFC-ERG and which our fuel cell is coupled with a turbo expander. The resulting electrical efficiency is typically 60%, nearly twice the U.S. grid and higher than other distributor generation auctions. Our first DFC-ERG power plant went into operation in Ontario throughout the last year and forward DFC-ERG power plants were approved by the Connecticut Department of Public Utility Control. The market has been estimated at 250 megawatts to 350 megawatts in just to Northeastern U.S., Northern California and Toronto. Our longstanding relationship with U.S. government is also generating new business. During the fourth quarter, we’ve received an award from the Department of Energy for $1.9 million for development of a micro channel high temperature recoup rater. We also received an award from the Department of Defense for $1.5 million to continued development of our Electrochemical Hydrogen Separator or EHS. This award contributes due our hydrogen co-production product, which integrates an EHS system with the fuel cell power plant. In January, we announce that Department of Energy awarded FuelCell Energy at $30.2 million contract for Phase II of a 10 year program, dedicated to developing megawatt class; coal based solid oxide and fuel cell power plants. During 2009, we met all of our interim program milestones for technical performance and cost. FuelCell Energy’s unique value proposition is both compelling and timely. Our FuelCells are at large scale ultra clean and highly efficient continues power generation technology. These really available fuels, such as natural gas and biogas, our fuel cells deal with solar, wind and other intermitting technologies cannot do; and FuelCell Energy is the only company today with commercially available megawatt fuel cells that this critical clean energy need. In summary, while 2009 was a challenging year for everyone due to the global economy. We ended our fiscal year with a solid balance sheet, a new licensing agreement with our South Korean partner, a new cost reduced products in production, strong order backlog and a growing domestic and international sales pipeline. As we entered 2010, we solely position to capture a unique position in the global energy marketplace and continue on our past to profitability. Operator, at this time we’d like to take some questions from our audience.
Operator: (Operator Instructions) Your first question comes from Burt Chao - Simmons & Co.
Burt Chao - Simmons & Co.: First question it just basically on backlog currently and in kind of looking backwards in doors. Can you details on the code shipments, the moment in backlog whether the shipments the POSCO or shipments to kind of outside of POSCO, customers and kind of just give color on held the backlog moved in the quarter?
Daniel Brdar: We started the quarter with 44 megawatts of backlog and we shift unit to was actually to California customer was 300 kilowatt, so actually end up the backlog at the end of October with 44 megawatts. When we were going through the commissioning issue with the Koreans one of the impacts of that is that we delayed some shipments to the Koreans until all the commissioning issues were settled, so it’s actually little bit of lot jam of shipments there are moving in the first quarter of 2010 at this point.
Burt Chao - Simmons & Co.: So, those would be primarily to past the Korean customers at that point?
Daniel Brdar: Yes, we have resumed all shipments to POSCO at this point.
Burt Chao - Simmons & Co.: To congratulations on sign you are finalizing that agreement in POSCO’s obviously very important partner with you guys. Going forward however you mentioned all these other markets, kind of looking mid terms and maybe even longer terms. How do you see the backlog developing or maybe even to shipments developing. Do you anticipate POSCO being, vast majority for awhile or do you anticipate that kind of smoothing out to maybe did not taking as much as you grow in to these new markets.
Daniel Brdar: Well, I think as you look at what’s already in backlog for 2010 POSCO will remain a pretty significant amount of what we are going to shipping, but as we start to open up European market and as we see the US markets come back to order flow, we are going to see that balance. Then I think we are going to continue to see the Korean market probably go more quickly then the other markets because there are looking at this national energy policy to looks like its going to drive a lot of volume so they will continue to be significant part of our business but we would expect to see the percentage of what we ship to them come down overtime.
Burt Chao - Simmons & Co.: The cost of revenue ratio obviously is zero; I guess quarter-over-quarter but down very attractively year-over-year and looking forward it kind of maybe for 2010 guidance? What do you expect that to be when you exit the year?
Joseph Mahler: It’s not too similar from what I am said in previous calls, we see the product is on target for cost reduction, so we are looking to get 10% to 15% margins. So we would expect to be below one on product cost and we still have the trailing, these other cost that come through, trailing service cost. In ’09, we had additional commissioning cost in Korea, when those range somewhere 20 to 30 points. So if you add that, let’s say, you started that 0.9 or 0.1, you’re basically 120, 130, something in that range.
Operator: Your next question comes from Meghan Moreland - Ardour Capital.
Meghan Moreland - Ardour Capital: Could you give a little more detail on the issues with the commissioning? It’s news to me that there were issues just exactly what happened and how it’s sounds like you perhaps this reverse at the end of 4Q and maybe going forward in 2010, that would not be an issue, just some more color there?
Daniel Brdar: We talked a little bit about last quarter, but it comes down to two things. One is, if you think about installing multi-megawatt power plants, this is a product that is new for POSCO Power. It’s new for the companies that would be installing it in the marketplace in Korea. So we saw some problems with the installations. They would think that hadn’t down correctly, in terms of how units one installed. Then we had some components in our Electrical Balance of Plant that are readily supplied components for power generation equipment. They had basically some infant mortality issues. So the combination of those two things delayed after getting those units completely commissioned and accepted by the customer. We’ve worked through all of those things now both the installation, challenges that POSCO and their customers had and the Electrical Balance of Plant equipment problems. We don’t expect to see that going forward because we all approach this under the context of we want to get these units operating as quickly as possible. We want to show how will the product works in support of this national standards just coming and we really use that as an opportunity for all of those collective to figure out how to work better together and to capture the lessons learned and flow it back into our installation manuals and were our product comes together.
Meghan Moreland - Ardour Capital: So, as more of an issue of this all culminating in the fourth quarter?
Daniel Brdar: Yes, exactly. With the way worked out was, we actually had about a half dozen units, that are basically a new product to that marketplace that all stacked up on top of one another in terms of the timing of when they were being commissioned and that’s what really caused the delay. There was one that easily knocked it off, but the fact that we had a half dozen happening at the same time. It just stretched everybody’s resources to get it done and as quickly as we would have like to, but fortunately, I think everybody is pretty happy with the way things turned out. Shipments have resumed, we’ve actually already seeing some customers’ comeback for repeat orders.
Meghan Moreland - Ardour Capital: How many megawatts were shipped in the fourth quarter?
Daniel Brdar: There were 0.3 megawatt, that was actually shipped and then we have another eight megawatts that was ready to ship to POSCO, but they ask us to hold it for about 30 days, while we work through the rest of these commissioning issues.
Meghan Moreland - Ardour Capital: So that was partial of recognition on the P&L?
Joseph Mahler: Yes, we maintained recognition. We didn’t say any indication. We’re on the percentage of completion, so we just maintained revenue recognition.
Meghan Moreland - Ardour Capital: In terms of backlog, did you say that, product backlog now it remains essentially at 44 megawatts, is that what heard?
Joseph Mahler: 43.7 to be exact.
Meghan Moreland - Ardour Capital: Just refresh me, none of the Connecticut’s projects are in backlog right now, though we had into backlog once the financing is completed, is that correct?
Joseph Mahler: That is correct.
Meghan Moreland - Ardour Capital: Where do we stand there just in quite time since those were given final approval, I know you said, that some of them were going to be apply for the DOE loan guarantees. I would think that, we would have some financing coming due at this point, where is it really just still so, such a frozen market?
Daniel Brdar: It’s really what we’re seeing in a broader market with just the inability for anybody doing power projects to get any meaningful amount of financing. We’re seeing that we’ve got people with that have engaged in terms of looking the project portfolio we’re making some good progress with them, but we’re treating this as a parallel path if we can drive the traditional finance in the closure great. We’re going to work the parallel path with the DOE loan guarantee program as well and those two things may converge at the end, but we really want to make sure that we’re pursuing all the opportunities just because it tends to still be a lot of risk aversion to doing any kind of capital equipment projects right now.
Meghan Moreland - Ardour Capital: Are there any time constraints on these projects? If they don’t get financing within a year or two they reduce their approval or is that open ended?
Daniel Brdar: No, there is one of them bid into the four capacity market, so it will have to make some adjustments to accommodate that, but they’re not really time constrained in terms of getting the thing done. We just would all like to get them into backlog, so that we can actually show multi megawatt units operating here in the U.S. just like we have in Korea.
Operator: Your next question comes from Adam - Oppenheimer.
Adam - Oppenheimer: Couple of quick questions, can you run through your pipeline outside your backlog? I know you’ve told us that before to get run that?
Joseph Mahler: Yes, what we’re seeing is, and just to make clear again is that these were not in out backlog at this point, but this 43 megawatts in Connecticut, it has value of over $200 million. The contract has signed power purchase agreements with utilities so they’re in very good shape in that regard and we’re just walking through as Dan just described, that the project finance exercised, we fully expect those to get finance. Then in California, we are expanding our pipeline of possibilities. I mean, I think last quarter, we were talking somewhere above 15 megawatts to 20 megawatts of opportunities and now those are probably higher than 25 megawatts of opportunities at this point time. So, we’re seeing increased interest certainly in the wastewater market, we are seeing real reluctance, we still that and seeing that release from the financing standpoint, the same people just being very cautious in terms of their capital budgets and capital financing, but from a company standpoint we’re very encouraged by the increased activity, we did take that order from Talari the other day and I think that’s a real positive too in the sense the repeat order in that California market place. So, I things look good which is have to get through this loop financing exercises.
Adam - Oppenheimer: If you could just update us on the metrics to turn GM positive the run rate maybe potential timing?
Daniel Brdar: Yes, I think it’s a same pretty much the same metrics I think in 10-K we are articulate a range of 75 to 125 megawatts which is really a product mix situation if you’re shipping cells in modules to the Koreans you’re going to be at the higher end. If you were shipping all power plants, you would be at the lower end we’re seeing cost come out, we’re happy with the cost reduction it really come down to our volume game at this point in time. I mean the product is ready, the product is working well, the cost during the right place we can get some volume through the system we can really move on that path.
Operator: Your next question comes from Chip Moore - Canaccord Adams.
Chip Moore - Canaccord Adams: Just come back to Connecticut’s 3.5 megawatts approved, you mentioned potentially getting DOE decision in early 10. How should will be thinking about revenues next year into ’11, if you go just kind of broadly give us a ballpark 2/3, 1/3 etc.?
Daniel Brdar: I am not sure about 2/3, 1/3 I mean it should be the backlog, should be somewhat ratable, we drive it through our production rate or production rate right now is about 30 megawatts will be producing the same amount generally each quarter so, without incremental volume, if you took this year and we didn’t through a lot incremental volume monitor would be ratably, pretty consistent through the four quarters.
Chip Moore - Canaccord Adams: Maybe if you could give similar announces for POSCO backlog just in terms of running to the P&L how we should look at that?
Joseph Mahler: I think the POSCO probably run 15 months, and so it’s probably five quarters, maybe a little bit more. I mean most of the backlog right now is POSCO. So that’s plan to run over a five, 5.5 quarters. So the question is, when does the volume increase and when do those orders come through and we’ll have to do with that when it come in. I mean those things were out of nine months to 12 months cycle to ship on new orders. So you would expect that would be the cycle for that.
Chip Moore - Canaccord Adams: Then I guess just lastly, you talked about Europe, maybe signing multiple partners, any idea on timing their potential announcements?
Daniel Brdar: Timing is tough to tell, because you’re dealing with negotiations, but we’re actually pretty well engaged with one player already. We’re like to try and drive first relationship to closure as early as we can in 2010 and we’d expect that probably at another one to after that as we get into latter half of 2010
Operator: Your final question comes from Burt Chao - Simmons & Co.
Burt Chao - Simmons & Co.: I apologize if it’s already been answered, but can you guys go detail a little bit on your cash burned on the quarter? What you expect it to be going forward?
Joseph Mahler: As we said, we got POSCO invested $25 million and gave us the licensing fee. At the same time, we ran a $23 million cash use in the quarter, because as part of that commissioning exercise with POSCO, some of the acceptance criteria was pushed out about 30 days, so the working capital associated with those orders really get pushed into the first quarter. So what you have is you have in the fourth quarter, you have higher cash use because of that working capital move to the first quarter. I mean, I would say that numbers $10 million to $12 million range. So if you take that number and you look into 23 and you say that, working capital got shifted out, you bring it back down, you’re back into that normal range that, we have which is I think in ’09, we talked about $10 million to $14 million range.
Burt Chao - Simmons & Co.: So going forward, it should kind of return to normal?
Joseph Mahler: Yes, it should in ’10, not including new volumes, here with new volumes would actually improve, as the margins now are positive on our incremental sale that will actually helped. If you look at it with the existing backlog and how that’s playing out, we would still expect the drop because our cost have come down. So you’re in that ’10 probably in a little bit lower range 10 to 12 range something like that.
Operator: It appears that does conclude our question-and-answer session. I would like to turn the conference back over to our speakers for any additional or closing remark.
Daniel Brdar: I want to thank everybody for joining us today. We look forward to updating you again on our progress next quarter. Thank you.
Operator: That does conclude our conference for today. Thank you for your participation.